Operator: Greetings, and welcome to Marin Software Fourth Quarter 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Please note, this conference is being recorded. I would now like to turn the conference over to your host, Brad Kinnish. Please go ahead. 
Bradley Kinnish: Thank you. Good afternoon, everyone, and welcome to Marin Software's fourth quarter 2018 earnings conference call. My name is Brad Kinnish, Marin's CFO. Joining me today is Chris Lien, Marin's CEO. By now, you should have received a copy of our earnings release, which crossed the Wire a short time ago. If you need a copy of the release, please go to investors.marinsoftware.com to find an electronic version. Call participants are advised that the audio of this conference call is being recorded for playback purposes and that this recording will be made available on the Investor Relations section of our website within a few hours. Before we begin, I'd like to note that our discussion today will include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. These forward-looking statements include statements about our business outlook and strategy, historical results that may suggest trends for our business, expectations about our ability to return to growth, impact of investments in product and technology, progress on product development efforts, product capabilities and future financial results. We make these statements as of February 14, 2019, and disclaim any duty to update them. For more information regarding these and other risks and uncertainties that could cause actual results to differ materially from those expressed or implied in these forward-looking statements as well as risks relating to our business in general, we refer you to the sections entitled Risk Factors in our most recent report on Form 10-K and our other filings with the SEC. This presentation contains certain financial performance measures that are different from the financial measures calculated in accordance with GAAP, and may be different from calculations or measures made by other companies. A quantitative reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our fourth quarter 2018 earnings release. With that, let me turn the call over to Chris.
Christopher Lien: Thank you, Brad. Good afternoon everyone and thank you for joining our call today. I’ll review the quarter and provide an update on our initiatives to return Marin to growth. Brad will then provide additional detail on our quarterly results and our outlook for the upcoming quarter.  As we have discussed in prior calls, we remain focused on returning Marin to growth and maximizing shareholder value by meeting the needs of the world’s leading advertisers and their agencies, as they seek to grow and optimize returns from their online advertising investments.  Our goal has been to put in place initiatives that we believe will position Marin to return to growth. While these efforts are taking longer than anyone else would like, we are making progress even as our top-line financials remains challenged. I continue to believe that Marin’s return to growth will unfold in 2019 as these initiatives gain critical mass.  As announced in today’s earnings release, Q4 revenues came in at $15.8 million which was above the high end of our guidance but still down from the prior year. Our cash balance at the end of Q4 was $11.5 million. Marin’s cash use reflects the impact of various cost savings initiatives taken to manage our cash position during this challenging period, and we will continue to manage our cash use closely.  In addition, we expect to additional cost saving benefits during the first half of 2019 from steps that we took in the second half of 2018.  Before further reviewing Q4, I want to highlight Marin’s current strategy that we believe will deliver a meaningful increase in shareholder value. As we have discussed in the past, brands stay into market where they seek to connect with their prospects and customers wherever they are in their customer journey across different channels, devices and publishers. Marin’s goal is to connect to these publishers to enable marketers to measure manage and optimize their online advertising investments from a unified platform.  Digital marketers will need and seek an ally in digital, who can help them strategically determine where to spend their advertising budgets to deliver the best bang for their buck. As an open independent cross-channel platform, Marin is well-positioned to enable brands to connect the dots to maximize the return from their digital advertising investments to acquire customers and increase revenues.  Marin’s approach seeks to align, integrate and amplify the efforts of brands to advertise across the world’s leading platforms. Marin’s advertiser focused role helps marketers to make better digital marketing investment decisions across Google, Facebook, Amazon and other publishers. Publisher tools do not provide impartial measures of advertising performance but rather optimize to encourage advertisers to buy more ads with the given publisher.  We believe best-in-class advertisers will look to objective independent third-parties to measure performance and guide actions. Marin is uniquely positioned to meet this growing demand. But as we’d stated before, our vision remains ahead of many brands and agencies who are not yet ready to make this change.  Over time, we believe Marin’s approach will become the new standard, and Marin will be rewarded for its leadership, as the online advertising management category evolves to this new state.  It is with this changing landscape in mind that we are focused on initiatives to return Marin to growth.  A key driver of our return to growth has been Marin’s development of MarinOne, our next-generation cross-channel platform built on a big data infrastructure. I am pleased to share that all Marin customers now have access to MarinOne, which provides them with a leading cross-channel platform for their search, social and e-commerce advertising investments. This is a significant milestone for Marin’s customers, as we’ve spent more than two years developing the underlying infrastructure, front end and functionality in MarinOne.  Our focus now shifts to tuning the platform as it becomes more widely adopted cross Marin’s customer base and moving to deliver additional innovative functionality to drive advertiser performance and efficiency. We believe that MarinOne’s functionality will play a critical role in improving our customer retention and new business bookings across 2019. In sales and marketing, I'm pleased to report that we've continued to see an increase in our new business pipeline and opportunity creation which we believe will lead to an increase in new business bookings in the coming quarters.  Marketing activities in Q4 included two webinars addressing Marin’s support for Google's responsive search ads and parallel tracking. We also completed various Amazon case studies showcasing the results that brands have achieved using Marin’s Amazon support functionality, including our advanced bidding optimization. Amazon continues to be our fastest growing publisher. From Q1 to Q4, Amazon spend on the Marin platform grew 85%. In customer success, our efforts remain focused on improving both retention and platform adoption by highlighting the value that advertisers can derive from using Marin’s products. I believe our efforts here will be aided by the broad availability of MarinOne including our MarinOne bidding, which integrates our most recent bidding innovations, leveraging machine learning and other advanced optimization technologies and approaches.  Marin’s bidding continued to perform well on behalf of customers in the quarter, outperforming publisher bidding in several trials, piloting Marin’s ability to add value beyond publisher tools to deliver greater performance, control and transparency. In early January, Microsoft and Verizon Media announced various changes to their advertising partnership, whereby Bing Ads will serve all Yahoo! search ads, adding to the volume of searches advertisers can access prior their investment in Bing Ads. Verizon Media will now focus principally on native advertising placements on its various Internet properties, including Yahoo! Properties, TechCrunch and Huffington Post among others.  Marin historically has been a strong partner of both Bing Ads and Verizon Media, previously known as Oath and before that Yahoo! and plans to continue to provide our customers with access to these high-quality high-performing advertising inventory. In addition to my earlier news that Marin has now enabled MarinOne access to all customers for their search, social and ecommerce advertising programs, we also have added support for Apple search ads, and YouTube in MarinOne providing more coverage for key publishers. During Q4, we also launched support for Google expanded text ads enhancements, allowing longer ad copy particularly for ads running on mobile which has been strong to drive higher performance. Marin also was certified by Google as one of the only click measurement providers to measure select ad interaction events that occur on Google hosted properties globally, including showcase shopping ads, local inventory ads and model automotive ads.  Marin also continues to invest in our supportive social advertising and we debuted our Marin Social facing dashboard, a real time view into performance against configurable targets on Facebook. We also introduced dynamic product ads for auto and social which are a way to combine effortless automation with segmented targeting for prospects that are lower in the purchase funnel. With the delivery of MarinOne to our customers, Marin has reached an important initial milestone in our return to growth. Our efforts on MarinOne now focused on customer adoption as well as tuning the platform for production use. Our innovation efforts on MarinOne will be focused on amplifying the capabilities of publisher tools to deliver performance and efficiency to our advertisers that they can only obtain from Marin.  Despite our challenges, I continue to believe that Marin has a tremendous opportunity and that our best days lie ahead.  And now Brad will review our fourth quarter financial results and our outlook for the first quarter of 2019. 
Bradley Kinnish: Thank you, Chris. I'll provide an overview of our results and then share our forecast for the upcoming quarter. I'll begin with the review of our income statement.  Let me start with revenue. For the fourth quarter of 2018, Marin generated $15.8 million in revenue exceeding the high-end of our updated guidance for the quarter by $700,000. Q4 '18 revenues were down 11% versus Q4 '17. However, on a sequential basis, Marin grew revenue by 20% when comparing Q3 '18 with Q4 '18. Our revenue during the quarter benefited from our three year revenue share agreement with Google, which accounted for $2.9 million of revenue in the quarter. During the quarter, our customer churn remained in excess of new bookings. We are optimistic that our MarinOne product launch will have a beneficial impact on both customer churn and new bookings as we progress through 2019.  In terms of our geographic split for the fourth quarter, 75% of our revenues were generated in US and 25% generated internationally. And in terms of direct versus agency, 62% of our revenues were generated from direct customer relationships and 38% via agencies.  For the full year of 2018 revenues totaled $58.6 million, a year-over-year decrease of 22% when compared to $75 million in 2017.  Now let me move on to the operating results. Our financials including a reconciliation of GAAP to non-GAAP can be found in our earnings release. My comments will now focus primarily on non-GAAP results.  For the fourth quarter, non-GAAP operating loss was $600,000 as compared to a loss of $5.4 million for the fourth quarter of 2017. The $600,000 loss was $1.8 million better than the high end of our updated guidance for the quarter. The operating loss for Q4 '18 was our best quarterly result since the first quarter of 2016. For the fourth quarter of 2018, non-GAAP net loss was $400,000, resulting in a loss of $0.06 per share based upon weighted average share count of 5.8 million shares. For comparison purposes, we generated a non-GAAP net loss of $5.2 million and non-GAAP EPS loss of $0.92 per share based upon a weighted average share count 5.7 million shares in the fourth quarter of 2017. In terms of the balance sheet, we saw a cash decline of $3.2 million, which was slightly higher than our cash burn during Q3. During Q1, we will receive a $3.9 million cash payment from Google based on our Q4 performance under the revenue share agreement. This amount is currently reflected in our accounts receivables balance and is a reason for the significant increase in AR. $900,000 in deferred revenue is included in our accrued expenses and other current liabilities accounts and represents the difference between the cash to be received of $3.9 million and the revenue recognized of $2.9 million. Going forward, we expect cash to be received from Google and revenue recognized to be more closely aligned.  We continue to take the meaningful steps to reduce our overall cost structure. Our total headcount was reduced by 33% when comparing to 2017 end of year headcount with 2018 end of year headcount. Similarly, when comparing non-GAAP operating expense for Q4 '17 versus Q4 '18, we achieved a 31% reduction.  During 2019, we will continue to align our costs with revenues as we seek to operate a breakeven.  Now moving on to our outlook. For Q1, we expect revenues to be in the range of $12.3 million to $12.8 million and non-GAAP operating loss is expected to be in the range of $4.2 million to $3.7 million. That concludes our call for today. I want to thank you for your time and we look for to updating you again at the end of Q1 2019. 
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. We thank you for your participation.
End of Q&A: